Operator: Welcome to the Third Quarter 2016 Zendesk's Earnings Conference Call. During the call, all participants will be in a listen-only mode. After the presentation, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded, and will be available for replay from the Investor Relations section of Zendesk's website following this call. I will now turn the call over to Marc Cabi, Vice President of Investor Relations, thank you, Mr. Cabi, you may now begin.
Marc Cabi: Thank you, Kristine and good afternoon everyone. Welcome to our third quarter 2016 earnings call. We're pleased to report our financial results for the quarter. Joining me in the room today on the call are Mikkel Svane, Founder, CEO and Chair of the Board; Elena Gomez, our Chief Financial Officer; and Tom Keiser, our Chief Information Officer. Before we get into the results, let me just pass along a few reminders. Our shareholder letter is available at our Web site, investor.zendesk.com which details our full results and commentary. During the course of today's call, we may make forward-looking statements such as statements regarding our future financial performance, product development, growth prospects, ability to attract and retain customers and ability to compete effectively. The assumptions, risks and factors that could affect our actual results are contained in our earnings press release and in the risk factors section of our prior and subsequent filings with the Securities and Exchange Commission, including our most recent Quarterly Report on Form 10-Q and our upcoming Form 10-Q. We undertake no obligation to update these statements after today's presentation, or to conform these statements to actual results or to changes in our expectations except as required by law. Please refer to today's earnings release for more information regarding forward-looking statements. During this call, we'll also present both GAAP and non-GAAP financial measures. The non-GAAP financial measures should be considered in addition to, not as a substitute for, or in isolation from our GAAP financial information. You could find additional disclosures regarding these non-GAAP financial measures, including reconciliations with the comparable GAAP financial measures in today's earnings press release and the shareholder letter and for certain non-GAAP financial measures for prior periods in the earnings press releases of such prior periods, all of which are available on our investor website With this brief introduction, I would like to turn the call over to Mikkel.
Mikkel Svane: Thank you, Marc and I will try to keep it brief two. You may have noticed that last week was a very big week for us. We launched what we call the new Zendesk with the rebrand growing product family and two new products Zendesk Explore and Zendesk Connect. In any ways just launch to us the combination of the direction was being sharing with you over the past year to become a multi-product company with a focus on customer relationship more broadly. We are taking what we believe is a very different approach in the market. So too long business software has been built for businesses at the expense of customers. It's been built for all the institutions, if you will, for department silos. It hasn’t been built for the seamless experience that customers expect today. We are changing that with products that we say are built for relationships first. Our newest products Connect and Explore create a more personal connection between customers and organizations through customer intelligence, and BIME [ph] Analytics and with Connect in particular we’re blurring the line between services, sales and marketing with the product that helped companies reach out to the right customers at the right time, both proactively and preemptively. Our most forward-looking customers have disrupted entire industries because they understand that they must focus on the entire customer experience and not manage customers in the silos of the past. We have learned from these customers and our product direction puts us at the forefront of this trend and broadens our opportunities as even more companies adapt to this way of thinking. During the last six months, we’ve seen some organizational change, we’ve brought in three new executives to help drive our future ambitious and our growth. And with that, we have some disruptions in our go to market organization that impacted the latter part of the third quarter. As a result from go to market perspective, we did not execute to our full potential, but we are confident that the adjustments have set us up for both better near-term execution and long-term success. I also want to highlight two other changes. Adrian McDermott has been promoted to president of products, where he will continue to focus on our expanding and unified product family. And Tom Keiser, our CIO, Chief Information Officer will take over leadership of our infrastructure and technology organizations to ensure that we continue to build scalable and resilient service offering and demonstrate best in class up time and performance for our customers. So congrats to Adrian and Tom. And Tom you’re joining us here in the cage today, so I know you want to say a few words.
Tom Keiser: Thanks Mikkel, I am pleased to join you on the call today. I jointed Zendesk this past May as Mikkel previously said as the Chief Infrastructure Officer and have previously been in CIO roles at Gap Inc and Limited brands or L brands as its known now. In my previous CIO roles, I’ve had responsibility for infrastructure operations, so I’m really excited to add that responsibility to my role now at Zendesk. Over the next several quarters I will be working with our technology teams to review our infrastructure and operations and to optimize for reliability, performance and cost. Ultimately delivering an efficient and scalable and resilient solution for our customers. Now back to Marc so we can take questions.
Marc Cabi: Kristine, please open the call for questions.
Operator: [Operator Instructions] Your first question, that comes from the line of Jesse Hulsing from Goldman Sachs. Your line is open.
Jesse Hulsing: In your prepared remarks, Mikkel you mentioned an impact to your results from the sales reorg, I wanted to drill into that, I guess first can you walk us through the impetus for the reorganization and then where was there disruption? And I guess moving forward is your sales org executing where you wanted to be through the first month of the quarter?
Mikkel Svane: I think we discussed -- at the last earnings call, we discussed some of the changes to the organization and the focus was really on simplifying some of the over engineering we've done in that part of the organization. And like, there's no doubt that we also much more -- we feel much better about the simplified structure where especially our account executives can build longer term relationships in customers within their patch of dirt as they call it, within their territory. So, everybody feels much better about the structure, but it did mean that we changed the notion, we changed the way a lot of our people were operating and we changed how somebody -- a lot of people got broader responsibilities or responsibilities for new areas. And that led to some disruption that we especially saw in the latter part of the quarter. But that doesn't mean that we don't feel very confident about the changes that we did and we feel that we did all the right things.
Jesse Hulsing: So, at this point, are the changes behind you and has the sales organization kind of returned to pre-reorg levels of productivity?
Mikkel Svane: Yes, we didn't like -- the changes we implemented after the previous quarter, we've stuck to those, we feel very confident about them. But we did have some disruptions, some noise during the quarter because of the changes, but we feel very confident about them, and we feel that we've done the exact right thing.
Operator: Your next question comes from the line of Stan Zlotsky from Morgan Stanley. Your line is open.
Stan Zlotsky : Maybe just kind of building on what Jesse just mentioned, what gives you the confidence that you have the sales turnover in check and then you’re heading into the important Q4, with the enterprise deal closings, that you have the organization is really hitting on all the cylinder heading into the back half of the year?
Mikkel Svane: What gives us the confidence? I think what we learned in this quarter was that like implementing the right metrics, we truly understand by how we're performing, by changing those metrics and like -- and properly interpreting those data and I think we feel much better about where we are with understanding the data, understanding kind of the problematic that reflects properly, the execution of the sales force. So that makes us much more confident about this quarter as we getting to it.
Tom Keiser: Stan I think the only thing I would add is, I feel as we check-in within our sales force. Most of the disruption that you saw in terms of change occurred within our Americas, operations North America and we’ve allowed Brian to kind of re-create this organization to become much more efficient going after opportunity. So we’re still sitting with good set of opportunities and our good team to go execute on those, so that’s kind of where I’d like to leave that.
Stan Zlotsky : Okay, great. And then just on the retention rate. I think in the past, you’ve talked about the national ranges somewhere in the one, in the team, near the one plus teams area. And just now we heard guidance of 110 to 120. Is that just you try to put a range around it or is there something where you foresee potentially retention rate dipping down to the 110 level?
Tom Keiser: So we just wanted to put out a prudent estimate of the broad range, we could see from time-to-time. There are quarter to quarter comparisons that impact that number based on a year ago results. But we think that the prior guidance of that we provided in this range kind of representative of what we can see for the next several quarters.
Stan Zlotsky : Okay. Got it. Thank you, guys.
Operator: Your next question comes from the line of Richard Davis from Canaccord. Your line is open.
Richard Davis: Just one quick tactical thing and then a strategic thing. So on the tactical thing, is there anything that we should be aware of with regard to -- as you talk about execution on sales that would make 2017 trend line, I know you’re not guiding for that. Is there any like off balance sheet stuff or anything like that, that we should be aware of this outside or is there probably you could talk about that? And then the second thing is -- with regard to the platform and things like that you talk about kind of making it more efficient things like that other. Is that are going to be any material changes in the architecture, partners or tools you have on tap? Thank you very much.
Tom Keiser: So from a balance sheet perspective, there will be no balance sheet impact from anything we spoke about from our go to market changes. And then Richard, could you clarify your second part of your question? Just so we understand exactly.
Richard Davis: Yes. You’re working on the technology kind of foundation in the company. Is there anything -- I’m just trying to make sure, we don’t have any issue there. I don’t think we will, it sounds like you’re moving in the right direction, but there is no major changes going on there, it’s more just making the thing run more efficiently, be more efficient, go to market, et cetera. That’s one, check on that. Thanks.
Mikkel Svane: So I think, there are couple of things going on, first is making sure go-to-market organization has a good set of measures from which we can measure it’s progress and it’s productivity. And then from an operations perspective obviously, we want to have a very highly reliable operational capability for our customers and Tom will be kind of making sure that we can continue to scale to some of those larger customers.
Richard Davis: Perfect. Thank you.
Operator: Your next question comes from the line of Kash Rangan from Bank of America Merrill Lynch. Your line is open. 
Kash Rangan: I just looking to get a little bit more clarity, was the slippage on upsell of existing customers or brand new deals, and can you give us a status if these deals are just slippage deals or is it a competitive issue? And also thirdly wondering if you're simplifying the sales organization I would assume that discussion cycles probably get accelerated, so I was wondering if there was a loss of actual sales people that were supposed to be closing these deals in Q3, that might have explained why things did not shape up the way they did?
Elena Gomez: Kash this is Elena. So, on our latter question about the loss of sales -- in place, we did have some attrition, but I wouldn't say that that was -- that's what pointed to exactly any deals slipping and we don't really talk too much about deals slipping but we're focused on Q4 and delivering on our full year guidance, so I don't see a change to what we're forecasting at all. And in terms of new versus existing we continue to focus on both upsell and new business.
Kash Rangan: And with respect to the slipped deals, I know you've not provided a lot of commentary, but can you tell us if they're still in live mode or have they been lost or you're still kind of close some of these, just trying to understand the deals?
Elena Gomez: As you know, we still continue to -- with larger deals, obviously there's more toll gates to cross. So we continue to have those in our pipeline and that's why we're confident with our Q4 and full year forecast.
Operator: Your next question comes from the line of Brent Thill from UBS. Your line is open.
Brent Thill: Just a follow-up on Kash's question, Bryan Cox came in in May and I think many of us have seen this before, it usually takes kind of six to nine months before the sales changes settle down and I just wanted to be clear, you're having North American left, were there other change below not having North American sales that then rippled through, I'm just curious why you’re thinking we would bounce this quick relative to what we've historically seen where it takes a lot longer?
Tom Keiser: Brent let me tackle that question by talking about the two parts of our business. So, our core part of our business which is a very repeatable, a very consistent part of our business, that we frame a lot of our future guidance around, has continued to extremely well. That would be our core customer base that we focus on, the sweet spot we've talked about in the past. As we move into those larger opportunities we've said in the past that they're always difficult to determine when they close, how they close and so forth. We're pursuing the land-and-expand strategy in that category. So, timing on those and when we can land the large opportunity within the land-and-expand are still something that we need to get better at. And over time as we get more experienced we'll do. What gives us the confidence though to say that the core of our business is working, is just the results that we're presenting to you which are that our core business that we focus on in our sweet spot, performed very well in this quarter.
Brent Thill: And can you just elaborate on the comment on the Q3 and latter, about the service uptime disappointing some of the customers, what exactly happened and is that resolved now?
Mikkel Svane: Yes, before throwing Tom here in front the lion, I just want to say that yes, we had a little bit of a disappointment in terms to our uptime and we were affected by a lot of the bigger incidents that were on the Internet. And that affected our customers and I think that just from an investment -- time investment perspective, a lot of our customer conversation were about these things and give them assurance in our dedication to making sure that they have perfect operations going forward. And of course that is a distraction for the quarter, but we definitely felt that must be the exact right thing to prioritize and Tom, I don't know if you want to elaborate a little bit.
Tom Keiser: No. We’re going to do quite detailed reviews of our resiliency and our redundancy around our product to make sure that we’re satisfying what our customers need. Our customers relaying on us to run their business and their operations and we owe it to them to be available. And while I don’t think we’re out of alignment at all with any of competitors and what we all experienced over the last few months. We’re going to do better and we’re get put the things in place which we need to do to do better, we’re committed to that.
Operator: Your next question comes from the line of Alex Zukin from Piper Jaffray. Your line is open.
Alex Zukin: I wanted to ask about how your pipeline coverage ratios look both for the fourth quarter and maybe early parts of next year right now?
Tom Keiser: Alex, we don’t specifically talk about pipeline coverage ratios or anything, but we’ve stated in the past that we continue to see our core business extremely healthy in that the larger opportunities that we have in our pipeline. Predicting how and when those close are much more difficult at this point, but we believe that we have a lot of good companies and good opportunities that we’re working with for either the fourth quarter or in 2017.
Alex Zukin: Got it. And maybe just on that, what’s the right way to think about kind of the longer term sustainable growth rate on kind of the core business and kind of the lower end market?
Tom Keiser: So we’re completely -- and I’ll let Elena expand on this. We continue to focus on our goal that we shared earlier in the year toward $1 billion of revenues in 2020. We are focused on growing in a measured way to also deliver on our commitments around improving operating margins year-over-year. And so we’re taking a very measured and balanced approach to growth and improving profitability.
Elena Gomez: Yes. I don’t have too much to add, but Alex to give your perspective, when we exit 2020, we expect to be North of or hovering around 30% revenue growth at that point in time. So you can sort of back your way into that. I think we’re building out our plans internally to figure out at what pace we want that growth to be, because we’ve got be measured in how we make our investments and make sure we deliver the bottom-line also continuing to grow. So maybe that will help you anchor your models, by thinking through that we’ll get to 30% growth as we exit 2020.
Alex Zukin: Got it. And then maybe a bigger picture question. You guys obviously making the transitions to a multi-product company from a product perspective. Can you maybe, you might have addressed this already, I jumped on a little late. But can you help us understand what types of specific changes you’re making to the sales organization to prep them to be able to sell multiple products individually or back into the base? [Multiple speakers] strategy will resonate more first in the SMB or in the enterprise?
Tom Keiser: We’ll continue to really focus on executing in our sweet spots, we've talked about that in the past. But from a product perspective, I'll give you a good example of a product that's kind of moved into the mainstream sales activities which is Chat. As you recall, late last year we created an emerging products kind of activity where we were fostering new products to eventually be graduated into the complete Zendesk sales force and Chat is one of those products that's now reached a point of maturity both from a go-to-market perspective, but also from the product perspective with some additional new features to come in 2017 that allow us now to sell that broadly across the sales team. So, that would be an example of how we move from incubating these products to making them generally available across sales team.
Elena Gomez: And I would just add Alex, that a couple of things, one as we think about our investments into 2017 and beyond we're thinking about enablement and making sure all of our field sales folks are enabled to sell multi-products is definitely a pivot for the company, and we've got to make sure not only we're tracking the DNA of the sales talent that can pivot to sell multi-products, but also making sure we make investments in them to sell those products. And I think the last thing I would say is, there's a lot tighter with Bryan coming on Board. He's really stressed the importance of tighter integration with the product org and so through that there's a lot more visibility into product roadmap when it’s coming and making sure that we enable and prep our team before the product hits the bag, to make sure we're successful at launch.
Operator: Your next question comes from the line of Tom Roderick from Stifel. Your line is open.
Parker Lane: Hi, it's actually Parker Lane in for Tom. I'm just wondering if the expansion of your products that alters your view of your addressable market and whether or not we should think about these solutions as more of an upsell vehicle for existing customers, or if they have the opportunity to attract new customer relationships?
Mikkel Svane: I think we've always thought about our market in very broad terms, we definitely see the lines between what are we -- like the new world of sales, the new world of marketing, new world of up service emerging into this customer -- managing the entire customer experience and with that we see a very-very broad market, we see a big TAM, and we like -- even when we look very critical at our own customers we can see an incredibly broad customer base in every single industry, all over the world, small businesses, medium sized businesses and very large businesses. So, we have no doubts about the TAM of our market and that we continue to address this growing TAM. There's like -- I'm really intrigued by what we've learned from some of our most forward thinking customers and how they think differently about like supporting the overall and managing the overall customer experience. And it's really for where we see these new companies defining a new world of customer acquisition, customer retention and customer nurturing that we're building for. Because we believe that every single business in the world, are going to adapt and adopt these kind of -- this way of thinking in managing your customer experience. So, we're very excited about building for that future and monetizing our past towards what we believe will help organizations build much better relationships with their customers.
Operator: Your next question comes from the line of Ross MacMillan from Royal Bank of Canada. Your line is open.
Robert Simmon: Hi, this is Robert Simmon for Ross. So you’re billings growth rate is really distorted over the last two quarters. And I know you don’t guide to it, but do you have any thoughts on that front for 4Q or for 2017?
Tom Keiser: Thanks for that question. So our billings -- our calculate billings do not guide to our influence by a couple of factors. One is the mix of business that comes in between the type of customers that we get. I can tell you that in this most recent quarter, if you were to look at our total revenues, we invoice only about 50% annually, the rest are invoiced quarterly and monthly or in some other fashion. So that plays a role in that number, the differed balance that you see on the balance sheet for each quarter. And so it becomes very difficult for us to guide that. We know that our larger customers and larger contracts tend to bill annually. So again what happens in the fourth quarter around those activities will influence that number for the fourth quarter.
Robert Simmon: Okay. And then how, I guess with your percentage of revenue or NOR coming from enterprise this time, [indiscernible] last couple of quarters. Is that just a reflection of what you’re talking about where it’s harder to kind of forecast [indiscernible] closed or is there any sort of structural shift in market or as there being kind of shifting your kind of focus towards your moving deeper enterprise versus let’s say taking more of a horizontal approach with your new products?
Mikkel Svane: So there is a mix contribution to that number here as came about our revenue coming from hundred plus customers at 33%. If you were to look at the numbers basically, you see that customers below and above 100% are basically growing equally in the last couple of quarters that contributes roughly equally, that contributes to that metrics staying at 33%.
Robert Simmon: So I mean, you wouldn’t say they maybe going to shift though, what you are saying is [indiscernible] approach?
Mikkel Svane: So as you know, we’ve always focused on being very efficient our sales and marketing efforts and that means focusing our core and so that when our core is very healthy it’s growing at a very nice rate, which influences that number.
Robert Simmon: Got it. Thank you.
Operator: Your next question comes from the line of Jonathan Kees from Summit Redstone. Your line is open.
Jonathan Kees: Great. Thanks for taking my question. So I just wanted to make sure I’m thinking of it correctly from what I’ve heard. The part of your business is, most of your guidance is from your core business, the small to mid-size businesses and then there is the second part, the planned expansion especially with enterprise that’s more -- you guys are still figuring it out. Then do you figure out, is that the upside potential then for your guidance. Is that the way to think of that?
Elena Gomez: I think, that’s a fair representation. But I think we’ll continue to focus our core low touch business which is as Marc alluded to earlier very predictable. But as you guys know if you get one or two either new or expansion deals and they take longer to materialize, but also can be -- can swing of results pretty dramatically in any one quarter.
Jonathan Kees: And it sounds like in terms of -- the second part of my question is in terms of timing, in terms of the swing for this quarter, you're saying it was late in the quarter in terms of the slippage and I assumed when you slippages, I assume a pipeline in it, it's going into next quarter, it was there just like the last week, the last couple of weeks, the last month, and I guess I'm trying to understand the timing of it and also why wasn't that detected earlier?
Tom Keiser: So, a lot of these large deals, and the larger type of deals, again it's very difficult to predict timing on those and so those will play a role in the quarter. Again from a perspective of our core performance, we felt we had it very good of our sweet spot where we focused we had a good quarter.
Jonathan Kees: Well if you are basing your guidance on your core business than that should provide conference in terms of the guidance you have for this year which you iterated in this and now you give enough guidance in terms of -- conference in terms of you missing it. Alright so good luck with that guys.
Operator: [Operator Instructions] Your next question comes from the line of Bhavan Suri from William Blair. Your line is open.
Bhavan Suri: Just to start off, to deliver on the enterprise, any sort of trend in some of those slippage outside of sort of your own internal sales staff, any sort of change in competitive environment, is sales force getting more aggressive as you’re sort of encroaching a little bit on that space, any of the legacy guys, the [indiscernible] becoming a little more aggressive. Anything you're seeing there at all?
Mikkel Svane: I think the short answer is no. I think this was really about our own execution this quarter. So, no.
Bhavan Suri: And then when we look at partners, just some sense of what percentage of the business especially enterprise is driven by partners or partners involved in and sort of are there sort of implementation cycles, that they effect or sales cycles they effect, because they want to go and change process and things like that, is that part of something you see when you do these enterprise deals?
Mikkel Svane: Well, yes, this is Mikkel, and well some are of course like, partners tend to be more involved in the larger deals, but again like we do have comparable much shorter implementation cycles, much-much shorter implementation cycles and much -- unfortunately for these guys much less business for them as they are involved in these project. And so, yes, they're definitely play a role for us, especially in some regions I would say and that’s definitely a geographical spread to this. But I would say you would probably see us depending much less and also having a business model that rely much less on partners than comparable companies.
Bhavan Suri: Got it that’s interesting and then one last one from me. As you look at some of the newer products, you've touched on Chat obviously, but I'd love to know sort of just an update on where the voice product is -- the advanced voice and sort of how are you’re seeing adoption there, with the core offering alongside it? And then obviously you announced a couple of new sort of analytics products too early to tell, but lots of it gets some what you've seen from customers and feedback onto how that fits in sort of their plan around sort of broadly deploying Zen to not just -- especially as for mid and large enterprise, just to broader segment. So just an update on advanced voice and sort of early feedback open some of the new offerings would be helpful?
Marc Cabi: Mikkel, you want to take the second part and I’ll come back to Voice.
Mikkel Svane: Yes. AllTalk it's now probably called. [Multiple speakers] I think -- I just want to say like, it’s really getting probably integrated now across the services. Also like having all the data supported by [indiscernible] it’s going to take Talk to kind of the next level. It’s still very early days for Talk and our ambitions for it, but everything is turning out to be really, really neat. But Marc I’ll let you talk about that. Chat, ’17 I going to be a big year for Chat. And it’s really -- Chat is really becoming prime time for everybody out there, like they need those Chat channel everywhere, and we expect definitely 2017 to be a big year for Chat.
Marc Cabi: [Indiscernible] on Explore.
Mikkel Svane: Yes. So Explore, it’s an early access program right now and we’re really looking forward to putting this in the hands of all our customers next year, that’s going to be transformational for how basic about access to data and really getting insights out of the data. We’re going to take that to the whole next level. And with that, we’re really going to make it easy for them to start looking more holistically on the overall customer experience and I think we will open the eyes of a lot of our -- for our customers to what they can see that. Like -- our monetization next year like, easy start so I wish we were going to focus on first and foremost providing value and really educate our customer based on the value of this and then till the plan following that. I don’t know Marc, you want more to add here.
Marc Cabi: No. As Mikkel said, we have much more around pricing amortization of Explore and commenced. And then when we talk about it next year, the early access program have launched and we're going to get really good customer feedback, we have some very forward-looking customers using our products there. As far as talk goes, they made really good progress during this year, I think that as we enter 2017 we’ll be able to talk a little bit more about how well they are performing. From a cross-sell perspective, it's been a pure cross sell motion for Talk. Overtime there's an opportunity for us to go directly with our Talk product to acquired customers. But all of 2016 really is focused on making that service and those capabilities available to current Zendesk customers and that will graduate to a broader go-to-market role in 2017.
Bhavan Suri: That’s helpful guys. Thank you.
Operator: There are no further questions at this time. Mr. Marc Cabi, I turn the call back over to you.
Marc Cabi: Thank you Kristine. As always we appreciate your time and your interest in Zendesk and we look forward to speaking with you next quarter.